Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Salesforce Fiscal 2022 Third Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would like to hand over the conference to your speaker, Mr. Evan Goldstein, Senior Vice President of Investor Relations. Sir, you may begin.
Evan Goldstein: Thank you, Jeff. Hello, everyone, and thanks for joining us for our fiscal '22 third quarter conference call. I'm Evan Goldstein, Senior Vice President of Investor Relations. Our press release, SEC filings and a replay of today's call can be found on our IR website at www.salesforce.com/investor. With me on the call today is Marc Benioff, Chair and Co-CEO; Bret Taylor, Vice Chair and Co-CEO; Amy Weaver, Chief Financial Officer; and Gavin Patterson, Chief Revenue Officer. As a reminder, our commentary today will primarily be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings and press release. Some of our comments today may contain forward-looking statements that are subject to risks uncertainties and assumptions; in particular, our expectations around the impact of COVID-19 pandemic on our business, acquisition, results of operations and financial condition and that of our customers and partners are uncertain and subject to change. Should any of these materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results is included in our SEC filings, including our most recent report on Form 10-K. With that, let me hand the call to Marc.
Marc Benioff: Well, thanks so much, Evan. And I hope everyone on the call and all your families had a wonderful Thanksgiving and happy Hanukkah to everyone celebrating the festival of lights this week. Now this year, I'm grateful for many things. But I'll have to tell you, I'm very grateful for my good friends who I'm sitting here with, Bret Taylor. And Bret, congratulations on becoming the co-CEO of Salesforce.
Bret Taylor: Thank you, Marc. It's really an honor of a lifetime. Thank you and thanks to the Board. And most importantly, thank you to our customers and Trailblazers. I'm honored to be a part of you in this next chapter of Salesforce.
Marc Benioff: Well, Bret, when I first met you, you were at Google. You did an amazing job with Google Maps. And you started your own company, then it was acquired by Facebook. You became the CTO of Facebook. And then you let Facebook and started another company. And Salesforce was very lucky to buy that company quick. And then you've had an amazing run here over the last 5, 5.5 years at Salesforce and most recently as our Chief Operating Officer and now as Co-CEO. We couldn't be more grateful for you and your leadership, and congratulations, and it's just amazing to watch you grow.
Bret Taylor: Well, Marc, I don't know if you know this, you were the first person I called when I started that second company because I wanted your mentorship and advice. So for me, this partnership is really the culmination of a decade-long friendship. And I'm just grateful and excited for this next chapter.
Marc Benioff: Well, it's super exciting. And I'll tell you, we're going to get into this, Bret. But you've had a lot of great experiences with customers this quarter and also with all of our Ohana. And just give us one insight out of the quarter. Tell us about the world? And what's one thing you learned this quarter that really has surprised you or enlightened that you can share with all of us?
Bret Taylor: Well, actually Gavin Patterson and I, we took a trip to Europe together. We flew to London, Paris, Amsterdam, Frankfurt. And there's -- the pandemic's a roller coaster. But what I heard from the more than 60 customers we talked to on that trip is a sense of really moving forward, that we'll have to take into account health and safety. We have to really think about this pandemic as an endemic. But in part, settling down, people are moving forward. They're focused on growth, and they're focused on this new normal. And I have a very optimistic view of the future despite this roller coaster of a pandemic.
Marc Benioff: It is a rollercoaster of a pandemic. You're absolutely right. Well, it's been an amazing 6 quarters. And I'll tell you, the last 6 quarters, well, that's -- they have been unlike anything Salesforce has ever been through, that I've ever been through. And we -- I would say this is -- things are still changing and transforming. We're almost in a pandemic age, and we're kind of getting used to what it means to be inside of a pandemic. And yet at the same time, Salesforce has never been more successful. And I think Bret, when you look at the financial results, I'm sure you'd agree, this was an amazing third quarter. Revenue in the quarter was $6.86 billion, up 27% year-over-year. And it's really driven by all these amazing products, but really by this incredible customer success. And we can see it where we're #1 again for the eighth year in a row in CRM according to IDC. It's really exciting. Were you surprised to see that?
Bret Taylor: Not surprised at all, but it's something I look forward to every year every time those numbers come out.
Marc Benioff: Wasn't it awesome? And our sales and service clouds, well, they've become massive individual businesses at this point and generating more than $6 billion each. I mean that's bigger than a lot of cloud companies that I know by themselves and they're continuing to grow in the double-digits. It's amazing. I mean Sales Cloud is amazing this quarter. And operating margin in the quarter was also very good at 19.8%, and that exceeded my expectations. And we delivered $404 million in operating cash flow, up 19% year-over-year. And now for fiscal year '22, we're raising our revenue guide again. Just raised it at Investor Day a couple of weeks ago and now we're raising it again to $26.4 billion, at the high end of the range, representing 24% projected growth year-over-year. That's a $100 million raise since Q2 when we initiated guidance for revenue in December of last year. We've now raised guidance, since that initiation, $850 million, pretty awesome. And we're delighted to raise our full year operating margin once again to 18.6%. We have obviously a new team. We have a new structure now. We're in a new world. We're talking about that. But we have an incredible new model, and it's really reflected in this incredible operating margin performance really for this year and also the operating margin guide for next year as well. And this is really an incredible reflection of this new way that we have, the new way we're thinking and how we're driving a leading Salesforce.  And as we shared at our Investor Day in September, we're expecting fiscal year '23 revenue guidance of $31.8 billion, that's the high end of our range, and operating margin of 20%. Now as everyone knows, no other software company of our size and scale is really performing at this level, we know that because we're talking to other cloud CEOs every day. And I'll tell you, I couldn't be more proud of our Ohana. And then Salesforce is soon going to enter the Fortune 100. We -- really if you think about it, we only spent 2 years to the $20 billion. To think about how long I was waiting to get into the $20 billion in revenue for Salesforce, and we're done with it. It's kind of like now we're talking about being in the $30 billion. And I am kind of like, I wonder, wow, this is amazing. How long are we going to end up in the $30 billion? So you got to enjoy every moment because it goes fast. And you look at the growth, and I really think it's all about this customer success. It's been awesome. I know we're going to tell some great stories here on the call, LVMH and VMware and ADT and so many of our customers. And we're hearing some great stories from Slack customers too. I'm looking forward to Bret telling you a couple of great stories. I even had a great story yesterday from a friend of mine who was at a check-in counter for an airline. And they were using Slack entirely to make the reservation and book the tickets. It's an incredible story with this company. So well, I guess all of this is just an overnight success story for Salesforce, doing it now almost a quarter of a century, and it's been a great quarter. All right. Well, Bret, congratulations. And why don't you take it from here?
Bret Taylor: Thank you, Marc. As Marc said, we had another phenomenal quarter driven by our new operating model, our new management team, and a product portfolio that's just increasingly relevant to every company looking to thrive in this new world. Through this pandemic, our customer success has fueled our success. We have hired more than 30,000 people remotely. We've launched more products than we ever have before. And we've connected with more customers than we ever have before. We've also proven that we can come together safely in person. We just did Dreamforce in San Francisco a couple of months ago. We're doing Dreamforce in New York.
Marc Benioff: That's amazing, right?
Bret Taylor: It's amazing.
Marc Benioff: Might as well have another Dreamforce next week. Why not?
Bret Taylor: All year long, Marc. And we also have opened 65 of our offices. And as I mentioned, Gavin and I took that trip to Europe, talked to over 60 customers. And really interesting to see a wide range of industries going through different issues, whether it's the supply chain or the Great Resignation. But there's one theme in all those conversations. Every customer reinforced that work is not somewhere you go, but something you do. Every single company I spoke with is building their digital headquarters because they know their teams need to be successful from their home or from this office in this new era of hybrid work. And Customer 360 and Slack are powering this transformation for companies in every industry in every region of the world, and you can really see it in our results. In the quarter, we saw strong growth across regions: 23% in the Americas, 38% in EMEA, and 26% in APAC. And what really stands out to me, Marc, is the strength of our core organic CRM business.
Marc Benioff: Sales Cloud, that is amazing, right, especially sales and service cloud together.
Bret Taylor: Well, Sales Cloud is accelerating to 17% year-over-year growth, as Marc mentioned, now exceeding a $6 billion business just like Service Cloud. And Service Cloud, which is actually continuing to grow above 20% year-over-year.
Marc Benioff: Yes, that's just awesome. Congratulations. That was just beyond my expectation.
Bret Taylor: Yes, it really shows the strength in our core organic business, and it's just phenomenal to see this kind of growth at that kind of scale. And there's nothing like the start of the holiday shopping season. We started last week, to make me appreciate just how mission-critical our commerce and marketing clouds are on Black Friday and Cyber Monday. Cyber Week runs on Salesforce for the world's greatest retailers. What we saw was just incredible. So Commerce Cloud processed more than 100 million orders in November powering the shopping experiences for brands like Ralph Lauren, Puma, Crocs, LVMH. And get this, Marc, this year we have sent over 1 trillion messages from our Marketing Cloud. And in Cyber Week alone, we delivered 40 billion messages, up 34% year-over-year.
Marc Benioff: Incredible.
Bret Taylor: And we were lapping the pandemic. Last year digital was the only way people were shopping, and we're growing 34% on top of that. Our message platform...
Marc Benioff: Also, you have to give a call out here in reliability. Because both of us went through some very difficult moments in the weekend, getting calls from customers who are not using our Marketing Cloud but are good customers of ours. Because products that they chose from other vendors were not working on Black Friday and Cyber Monday and we're like, wow, we were just so grateful to all of our Ohana for the tremendous, tremendous performance they delivered over the weekend.
Bret Taylor: Well, I just want to give a special thank you to every member of Salesforce, particularly the engineering team to get that kind of reliability when so much of our customers' business is happening over a day or a weekend, it's just crucial that these systems stay up. And I'm so proud of the team. And hopefully, some of those customers will become customers of Marketing Cloud next year.
Marc Benioff: I hope so. I hope so.
Bret Taylor: And one thing I really want to comment is this move towards mobile commerce continued. Mobile push notifications sent for our Marketing Cloud grew over 94% year-over-year. Now we're just seeing the smartphone continue to transform commerce. All in, our Commerce and Marketing Clouds grew 25% year-over-year in our third quarter, continuing an amazing 20-month run as the global economy continues to digitize. I also want to talk about Slack. So Slack outperformed our expectations in the first full quarter as a part of the Salesforce family. The number of customers on Slack who spent over $100,000 was up 44% year-over-year. And adoption of Slack Connect was up an astonishing 176% year-over-year. Slack is not just a product, Slack is a network, and it's just incredible to see that growth. Slack also continues to innovate at an unbelievable pace. Slack Huddles, which is Slack's new real-time audio capability, is already used weekly by over 1/3 of Slack users. And Slack Clips, the new asynchronous video capability, are being played nearly 1 million times a week. And this month at Slack Frontiers, which I hope all of you have watched; and if you haven't, you can watch it online. Stewart and the team are now the next generation of Slack’s platform, and it's going to truly transform the way companies think about workflows and automation.
Marc Benioff: Well, I think that, that is definitely what I saw firsthand where I was like, how could it be that an airline is basically front-ending their entire system with Slack? That's a shock to me.
Bret Taylor: Slack is the system of engagement for every workflow, every application, every person on your enterprise. It's really an amazing platform vision. And absolutely watch Slack Frontiers. If you haven't seen it, I think it will blow your mind.
Marc Benioff: Well, it's pretty cool. What an incredible new part of our portfolio.
Bret Taylor: Well Slack has already transformed the way we work at Salesforce. Since we have deployed Slack internally, we sent 46% fewer e-mails. And in the last 30 days alone, our employees have sent nearly 60 million Slack messages and conducted 500,000 Slack Huddles. We run Salesforce on Slack. And every CEO and every Board I talk to is focused on how they can succeed in this era of flexible work. According to Slack's research, 93% of workers are looking for flexibility when they work, and 76% are looking for flexibility where they work. Companies need to connect their employees, their partners, their customers from anywhere because we all know we're not going to be in the office 5 days a week.
Marc Benioff: Right. It really flies in the face of all of these kind of -- you hear companies like a CEO say, "Oh, everyone has to come back in the office now. This is a mandate." 
Bret Taylor: Marc, you know what happens when they say that? Their employees leave and go to the company next door.
Marc Benioff: Well, I have to be very careful because when I say like on a broadcast television or at a conference, "Hey, employees are going to have flexibility in how they work. And they're going to have a digital headquarters. They're going to have physical headquarters. They're going to mix and match. They're going to move around a little bit," I get phone calls. And it's just so contrary to what we see in our own business.
Bret Taylor: Well, our offices aren't going away. It's just that your digital headquarters is going to be more important because it's truly the infrastructure that connects all of it, and especially in this new normal. And Slack and Customer 360 together are really powering this transformation. You can see in the results of the third quarter for Slack. Slack hit $280 million of revenue, $30 million ahead of guidance. Retailers like Saks and innovative companies like the Southeast Asian ridesharing and food delivery app, Grab, they're relying on Slack every day to collaborate to automate workflows and to connect with their partners. And what's exciting to me, Marc, is the deep product innovations we're building between Slack and Customer 360 while already driving success for our customers. I had a great time working with VMware's new CEO, Raghu Raghuram, this quarter. And he's spun VMware out of Dell. And Raghu's team is already using Slack and Service Cloud for case forming to decrease the time to resolution for their customers. I could not be more excited for the momentum we see in the Slack business and in particular, Slack's integration in the Salesforce. As Marc said, we're in a new world. We have a new operating model that's driving durable growth. And our team continues to deliver incredible success for our customers during these unprecedented times. Our core business is stronger than ever and is experiencing incredible growth at scale. Slack and Customer 360 have never been more relevant, and we're playing a pivotal role in supporting our customers' next phase of growth. And I'm excited to hand it over to Gavin to bring this to life and talk about what he's seeing with our customers around the globe. Gavin?
Gavin Patterson: Thanks, Bret, and I'd like to add my congratulations on your promotion.
Bret Taylor: Thank you, Gavin.
Gavin Patterson: So as Marc and Bret said, we are in a new world. And I've seen it through the eyes of our customers, which I've recently been visiting in New York, San Francisco, Frankfurt, Paris, Amsterdam, Zurich, Middle East and of course, London. I am very excited by the early results of how our new operating model is playing out. The strength of our core business is incredible. And the power of Salesforce Customer 360 and Slack together is creating the Digital HQ that is enabling our customers to get back to growth. And as Bret said, Salesforce has never been more relevant. In the quarter, we saw strong growth in every region, especially in the Americas. We grew relationships with Amazon, Builders FirstSource, IQVIA, Sunbelt Rentals, Tapestry and so many more. In EMEA, we deepened relationships with incredible brands like Fennia, Primark and Puma. And in APAC, we had significant wins with FOXTEL, Fujitsu, Hitachi and the New Zealand Ministry of Health. Now we all know the incredible security company, ADT. They're using Salesforce Customer 360 to unify their entire customer experience, empowering 4,000 customer service agents and 7,000 field service agents with a complete view of their customers, which is driving operational efficiencies as well as growth. And as Bret said, we expanded our partnership with VMware, which has been a Salesforce customer since 2008. This quarter, they kicked off a pilot of Slack plus Service Cloud to accelerate customer support. They also partnered with Tableau to extend data and analytics across their entire business, enabling the presentation of deep analytics to help innovate even faster. LVMH continues to expand with Salesforce to deliver luxury goods from anywhere. Globally, 40,000 retail associates and customer service agents use Salesforce to deliver personalized retail journeys for their customers. And our win with the Boohoo Group, which is a leading UK-based online fashion retailer, uses our technology to deliver their incredible online shopping experience. With Commerce Cloud, Boohoo is now expanding shopping by social media, marketplaces as they look to build for the future. And the State of Nevada's Department of Motor Vehicles is another great story in the quarter. They selected Salesforce as the platform to power its digital transformation across its entire business. This will mean a whole new experience for residents renewing drivers’ licenses, credentialing, titling and registering vehicles and so much more. And this is another great example of digital transformation powered by Salesforce, of course, another great reason to move to Las Vegas. These are all great organizations that have pivoted their business to navigate this new world and deliver customer success from anywhere. They're relying on us more than ever and inspiring us to leverage the power of our Salesforce Customer 360, Slack and so much more to continue to fuel that business. And finally, a word on Q4. I'm really encouraged about how we started the quarter. Demand and pipe looks strong, and we're looking forward to a great finish to what has been an exceptional year. I want to thank our incredible team for continuing to do such a great job in the massive global change. The work they do and the technology they deliver powers our customers' success, and we couldn't be more grateful.  Amy, over to you to share the financial details of our quarter.
Amy Weaver: Great. Thank you, Gavin, and hello, everyone. As we discussed 2 months ago at our Analyst Day, we are in a new world. And we showed our ability to execute on this new world once again in Q3. We delivered on key metrics, strong top and bottom line and cash flows. And our focus remains on disciplined and profitable growth. Q3 was also a milestone quarter as it was our first full quarter with Slack. Building on their strong performance over the last several quarters, Slack's early results reinforce our confidence in the strategic importance of this best-in-class asset. Now let me walk you through some of the results for Q3 fiscal '22 beginning with top line commentary. Total revenue for the third quarter was $6.86 billion, which includes $280 million from Slack. This is up 27% year-over-year, or 26% in constant currency. The strong demand environment and new business pipeline that we've highlighted on the last few earnings calls continued, allowing us to outperform top line expectations again.  A few key highlights from the quarter: First launched 22 years ago, Sales Cloud became a $6 billion run rate business this quarter and grew revenue 17%. Sales Cloud now joins Service Cloud, which became a $6 billion business just 2 quarters ago. And Service Cloud continues to grow over 20% at scale. These are 2 massive businesses growing in the double-digits, and their success is a testament to the strength of our core. Our Americas business is performing extremely well, and we see a healthy demand environment in front of us. New business in North America was especially strong, our largest market that we've been operating in for over 20 years. And as you heard from Bret, Slack continues to outperform our expectations. Slack has strong customer acquisition with notable strength in the enterprise. The number of paid customers spending greater than $100,000 annually accelerated for the fourth consecutive quarter, up 44% year-over-year. Slack Connect adoption remains strong, with the number of connected end points reaching a record level, up 176% year-over-year. And we've been able to introduce Slack to new customers. Already, 4 of our top 10 deals this quarter included a new Slack win. Once again, we saw strong growth in our multi-cloud deals as our customers continue to ask for more than point solutions. In Q3, we recorded 33% year-over-year growth in the number of deals containing 5 or more clouds. We did see some headwinds this quarter to our MuleSoft business. When a business is growing as quickly as MuleSoft is, there are scaling challenges you can face, and we experienced some of these challenges this quarter. We are confident in the changes that we have made going forward. As a reminder, a large portion of our MuleSoft revenue is recognized in period, which has an outsized impact to our second half revenue. MuleSoft remains a critical part our Customer 360, allowing our customers to integrate all of their data and systems. Beginning this quarter with the incorporation of Slack into our financial results, we are providing investors with updated revenue by service offering disclosures. Going forward, Slack will be reported in Platform and Other. We are also creating a new revenue category, Data, which will incorporate MuleSoft and Tableau including Tableau CRM, all of which were previously included in Platform and Other. We believe this will provide greater transparency into our results. A historical reclass using our new revenue breakdown is available in the earnings deck that we have published alongside our press release. And we continue to make great progress on attrition. For the first time in company history, revenue attrition was below 8%. Q3 attrition was between 7.5% to 8%, an improvement versus last quarter's 8% to 8.5%. Our remaining performance obligation, representing all future revenue under contract, ended Q3 at approximately $36.3 billion, up 20% year-over-year. Current remaining performance obligation or CRPO, which represents all future revenue under contract that is expected to be recognized as revenue in the next 12 months, was approximately $18.8 billion, up 23% year-over-year and in constant currency. Slack represents 4 points of growth, in line with our guidance. Turning to operating margin. Q3 non-GAAP operating margin was 19.8%, which continues to benefit from revenue outperformance, efficiencies from a work-from-anywhere world and a focus on disciplined spending. Q3 GAAP EPS was $0.47, and non-GAAP EPS was $1.27. The outperformance in the quarter was primarily due to stronger revenue and expense efficiencies as well as realized and unrealized gains on our strategic investment portfolio. These mark-to-market adjustments benefited GAAP EPS by approximately $0.27 and non-GAAP EPS by approximately $0.28. Turning to cash flow. Operating cash flow in the third quarter was $404 million, up 19% year-over-year. CapEx for the quarter was $166 million, resulting in free cash flow of $238 million, up 11% year-over-year. Now turning to guidance. We expect Q4 revenue of $7.224 billion to $7.234 billion or approximately 24% growth year-over-year. This guidance assumes a $285 million contribution from Slack in the fourth quarter. For the full year, we are raising our fiscal '22 revenue guidance by another $50 million to $26.3 billion to $26.4 billion. This equates to a total $100 million raise to our revenue guidance since Q2. Our guidance now includes $565 million contribution from Slack for the fiscal year. The fiscal year revenue contribution from Slack represents a $35 million increase from our previous guidance. Our full year guidance continues to include $200 million from Acumen. For Q4, we expect to deliver CRPO growth of approximately 19%. This includes 4 points of growth from Slack. One thing I will call attention to is that we remain mindful of the strengthening U.S. dollar in our foreign operations, which may impact our financials. We continue to monitor foreign exchange as we execute on what is typically the largest quarter in our fiscal year. We expect Q4 GAAP EPS of negative $0.24 to negative $0.23, and non-GAAP EPS of $0.72 to $0.73. For the full year, this translates to GAAP EPS guidance of $1.28 to $1.29, and non-GAAP EPS guidance of $4.68 to $4.69. We expect recent M&A will be an approximately $0.49 headwind to non-GAAP diluted EPS. And please recall that our OIE and EPS guidance assumes no further contribution from loss to market accounting as required by ASU 2016-01. We are also raising our fiscal '22 non-GAAP operating margin guidance to 18.6%, representing an expansion of 90 basis points year-over-year. The raise in our operating margin guidance is due to refined assumptions around Slack and Acumen. We now expect a 140 basis point headwind, or 10 basis points less headwind than our previous guidance. I'd like to call out that our guidance continues to incorporate expense seasonality that is weighted to Q4, including investments in both our workforce and growth opportunities and T&E expectations. We are raising fiscal '22 operating cash flow guidance by 4 points, now expecting 18% to 19% growth year-over-year. The increase from our previous guide is primarily driven by strong revenue performance and lower headwinds from M&A. The dilutive cash flow impact of Slack and Acumen now represents a headwind to our year-over-year growth of approximately 5 points. Excluding the anticipated impact of M&A, operating cash flow growth would be 23% to 24%. We continue to expect CapEx to be approximately 3% of revenue in fiscal '22, thus resulting in a free cash flow growth rate of approximately 19% to 20% for the fiscal year. Excluding the anticipated impact of M&A as previously noted, this rate would be 25% to 26%. As I shared with you 2 months ago, it is incredibly important to drive this conscious decision-making in every aspect of the company. This new mindset will enable a more durable company as we approach $50 billion, and fiscal '22 represents how we can deliver profitable growth in this new world. Turning to fiscal '23, we are pleased -- we were pleased to provide our initial revenue and non-GAAP operating margin guidance during our Investor Day. Today we are initiating Q1 fiscal '23 revenue guidance of $7.215 billion to $7.25 billion, or approximately 21% to 22% growth year-over-year. As Gavin mentioned, we're off to a strong start in Q4, and we'll provide you with our complete fiscal '23 guidance as part of our Q4 earnings in February. So to close, our business is performing well, and we continue to see record levels of revenue and operating margin. Our flagship product and in Sales Cloud saw its third consecutive quarter of acceleration. And we now have two $6 billion businesses in sales and service. Slack is outperforming our expectations, and the integration continues to progress well. And we remain incredibly well positioned with our broad product portfolio and global reach to be able to serve all of our customers. Our products are more relevant than ever. Finally, on a personal note, I want to congratulate both Marc and Bret in their new Co-CEO partnership. I have been privileged to work closely with both of them for many years, and I cannot begin to tell you how excited I am for both of them and even more for Salesforce. So Jeff, why don't I kick it back to you and we can open it up for questions? Jeff, operator?
Operator: [Operator Instructions]. Your first question will come from Brad Zelnick from Deutsche Bank.
Brad Zelnick: Congrats on a good quarter and to Bret on being named Co-CEO. I actually have 2 questions, maybe one for Marc and for Amy. And for Marc, on the Co-CEO structure, how do you envision breaking down CEO responsibilities amongst yourselves? And maybe what did you learn in the past about having co-CEOs that will make this structure even better than it was last time around? And then perhaps for Amy, Amy, the guidance that you've given us for CRPO in Q4 seems to imply a meaningful deceleration. What factors contribute to this? Is there anything anomalous to call out perhaps in addition to FX? And is there anything at all that impacts the confidence level that you have in your forecast?
Marc Benioff: Well first of all, congratulations again, Bret. It's super exciting. And you're right. Salesforce has had an evolving leadership structure several times, and we have also had tremendous success previously with the co-CEO structure. And of course, probably those folks who've benefited the most were really our shareholders and all of our stakeholders. As we've seen as we've changed these structures, it's actually been an acceleration on the company. So I'm very excited about the Co-CEO structure. These jobs are big jobs, and being able to have a partner that you can share with makes it a lot easier. And when Keith decided to retire, I was back in this job. It was very lonely. And now to have a partner with Bret, I couldn't be more excited. So I want to congratulate him again.
Amy Weaver: Great. On CRPO, business is strong. We've raised FY '22 revenue by $300 million 3 months ago, another $60 million just 2 months ago, and now another $50 million today. And this is even with some of the headwinds I described from Mule; and as you noted, some uncertainty on FX. So overall, I believe our CRPO guidance is in line with our guided revenue growth rate for the quarter and for the year we believe is appropriate. And of course as we said, Q4 is our largest new business quarter.
Operator: Your next question will come from the line of Raimo Lenschow from Barclays.
Raimo Lenschow: Congrats, Bret, to the expanded role. And congrats on a great quarter from me as well. Can I ask around Slack? One of the main exciting points around Slack with the shared channel. And especially if you think about it on the sales side, that should be kind of really interesting. Can you talk to that, what you're seeing there in the market and the feedback you get from customers? And a follow-up question for Amy. If I look, you beat the operating margins this quarter. Can you just talk a little bit about the linearity of spending in Q4? Because like this sort of was so much better, so you must be spending or hiring quite a bit in Q4.
Bret Taylor: Yes, thank you for your question about Slack. And you're right, the shared channels, which the brand name is called Slack Connect, is just one of the most differentiated and exciting parts of Slack as a platform, particularly if you think about the opportunity to integrate Slack with Customer 360. Because as I said, Slack is not just a platform for communicating with fellow employees, it's a platform to engage with your partners, with your customers and integrate with every single application at your company. I think the best measure of it in this quarter, I mentioned it in my script, was Slack Connect was up an astonishing 176% year-over-year in the quarter. And I think behind that it was really exciting and Stewart articulated so well, There's a really strong network effect when multiple companies and multiple partners are using this service, it makes the service more valuable. We use Slack Connect with our customers now. And I think probably the best example of this past week was Cyber Week. So many of the retailers that I worked with use Slack as their command center for Cyber Week. They would have Salesforce in there. They would have the agencies running their campaigns, their merchandisers. All of these folks are coordinated to drive as much GMV growth as they can in a short period of time. Slack was really at the center of that, and as you said, really about a shared channel with multiple stakeholders. So it's a big part of our product strategy, and it's a big part of the strategy for Slack to continue to grow. Candidly, I don't think there's an enterprise product like this in the marketplace. It really has network effects from company to company, and we're really excited about it.
Amy Weaver: Great. I'll take the second part of your question on operating margins. So you -- overall this year, so pleased with our FY '22 operating margin trajectory. As a reminder, we started off the year at 17.7% guidance, and we've raised consistently, now up to 18.6% for the full year. And we really focus on delivering operating margin for the year and not for any particular quarter. That said, we're coming off a very third -- a great op margin quarter in a row. And there is some seasonality to our margins. So in Q4, we are expecting to see additional investments in our work and our growth and also some modest increased T&E expectations. And that's going to cause the quarter-over-quarter decline in operating margin. But again, we're really excited about the full year proud to be guiding to 18.6.
Operator: Your next question will come from the line of Brent Thill from Jefferies.
Brent Thill: Just given Gavin's comments on Q4 demand and pipeline strength, many are asking given the bookings growth was 23%, the 19% guide for Q4, why such a sharp decel? Anything that we should consider as it relates to the guidance and what you're seeing going into the fourth quarter?
Marc Benioff: I think Amy should directly address that, and then Gavin can come in as well. Amy?
Amy Weaver: Brent, coming into Q4, we actually feel very, very good about this. As Gavin said, and he can tell you more, we feel very strongly about the demand environment. When I look at revenue for the year, again, I want to emphasize that we've raised $100 million since Q2. We raised $50 million at Investor Day, which is about halfway through Q3. And we could see a very strong quarter coming as well as an additional 50 right now. So I do believe that those are guides for CRPO and for revenue are supportive and reflects what we're seeing in the market. So Gavin, why don't I give this to you for a little bit more color on what you're seeing?
Gavin Patterson: Sure. Well in a word, we started the fourth quarter really strong. And as I said in my comments, demand is strong across the piece. The pipe looks very good. Americas is particularly strong. And parts of Europe I think are performing equally well. There's a good performance across the verticals. And so it's a balanced performance across the piece. So look, we're feeling confident about the fourth quarter. There's no question about it. So we don't give you any specifics, of course, at this stage. But as I say, I'm very pleased with the way we started in the first few weeks.
Operator: Our next question will come from the line of Keith Weiss from Morgan Stanley.
Keith Weiss: Very nice quarter, and my congratulations to Bret as well. Two questions for Amy, one in terms of the Q4 guide that’s getting a lot of attention. FX is kind of working against us on a go-forward basis. Can you talk to us to the degree that there's any FX impacts already incorporated into that Q4 guide? And to what extent have you incorporated the strong U.S. dollar into the margin commentary and FY '23 guide? And then the second question is a little bit broader. You guys have been working on this new philosophy of a better balance between growth and profitability for a couple of quarters now. How is that progressing? Can you give us kind of a status update in terms of are you finding this to be an easier, harder job than you originally anticipated in terms of pivoting the company with -- to more of an efficiency focus?
Amy Weaver: So let me start with foreign exchange. As you know that I think that any global CFO who you speak to this week is watching foreign exchange very, very closely. And it has had a modest impact to our guidance, and we're going to be monitoring that going forward. Just to give you an idea of the volatility just since Investor Day, we've seen the euro devalue nearly I think it's between 4% and 5% right now. And the Great British pound is down about 2%. And they do have modest impacts on us. Now we don't give detailed information about our currency split. But I can tell you, our international revenue is chiefly driven by 4 currencies: it being the euro, the British pound, the yen; and then to a lesser extent, the Australian dollar. And so as you know, we don't explicitly guide the FX, but we certainly do factor that into our planning processes and build out our guide based on those projections. Second question? second -- sorry, go Ahead.
Marc Benioff: He wants to talk about our kind of march towards greater efficiencies. I mean I think this has been really the highlight of the last 6 quarters, which is we took advantage of the pandemic to reset our model. We've talked about that we have a new model. We're taking that extremely seriously, not only just in how we budgeted fiscal year '22, which is what we're finishing right now, but also we're finishing up our budget for fiscal year '23. That obviously also takes into consideration these changes in foreign exchange, the strengthening of the U.S. dollar is something that I'm sure all of you are watching, and we watch as well. We're a global company. These things matter to us. How our numbers shake out always depend on currencies. And there can be variation quarter to quarter based on that. So when we look at efficiency, we saw an opportunity when the pandemic hit to really look at how are we spending money overall. And we were really taken by changes in the pandemic cycle: T&E, the use of our real estate, our marketing spend. And we started to rebalance, to reshape, to rethink about how do we look at our model, our overall model, not just our revenue model, but our expense model. Since we started the company, I would say we never really had an opportunity to look at it. You're on a train. The train is going. The train is working. Why would you make changes to the train? Unless there's a pandemic. That you say, well, I guess we're going to get rid of this to this. So the reality is we have the opportunity to start to make changes that we didn't have that opportunity before. And now we've been able to really learn. And I mean we've kind of gone over it a couple of times, but we’ve seen in the year when we acquired this incredible company, the 18.6% is pretty awesome. And we've also given really strong guidance for next year with 20%. And you can see the tremendous operating margin that we've delivered in each of the last 6 quarters. So we have tremendous feeling of optimism to the future as we look to having this incredible new model. And is efficiency part of that model? Absolutely. But really, the best part of the model is really optimizing the company in ways that only the pandemic let us do that. And I'd love for Amy and Bret to both come in, maybe Gavin too. Because this has been a very important part of the management team's work in the last several quarters as we've realized there are some knobs that we can turn, that we were just never really allowed to do before, and now we can. So do you want to comment on that, Bret?
Bret Taylor: Yes, I mean I'll just start. First, I just want to give a special thank you to Amy. I think we talked a lot about top line revenue performance, the pandemic and a number of other factors leading to the operating margin delivery that we've delivered. But I think the most important part of it is discipline. And fundamentally as a company, we are a growth company, we'll always be a growth company, but we're one of a few who don't need to choose between growth and operational efficiency. And you're seeing in both the top line growth and the bottom line growth. And I think a lot of that is due to Amy's leadership and really, the work of the entire management team to transform the way we operate. I think as Marc alluded to, the train with one theoretical -- this as you put it, I think it set up to grow even faster coming out of the end of this pandemic.
Amy Weaver: That's good. So Bret and Marc, I think you both said it very, very well. Cases we look at this, we continue to benefit from the revenue outperformance, from everything we've learned at the pandemic, from a new way to work, and really from, I think a heightened sense of discipline. But what I would emphasize most of all is that this is really a commitment by the entire management team. And what has really impressed me as we've been putting in place new policies, tightening up budgets is the fact that every team has really stepped up and shared in the commitment and shared in changes.
Marc Benioff: Before we go on to the next question, we have a tremendous executive, Gavin Patterson, who's our Chief Revenue Officer, who is formerly a public company CEO of British Telephone. And Gavin has been the Chief Revenue Officer, as all of you know, through the pandemic. And he also brought tremendous insights into managing this new model of efficiency and optimization. Gavin, I'd love it if you could give us a few words as well on your vision on how this new model is working for you. And maybe you could touch on what the new sales model is as part of this.
Gavin Patterson: Thanks, Marc. Well, this is something I touched on at Investor Day. I truly believe that we can continue to drive growth, and that will continue to be our #1 priority. But we could do so at the same time as driving efficiencies through the business through disciplined decision-making. You heard it from Amy, and it's a mantra that we're using throughout the business. And some of the things I talked about then are really to do with providing a tighter grip across the business, deploying best practice across our operating units. When we've got a successful model, how do we replicate it across operating units around the world. I've put a lot more focus on things like participation and driving productivity, so ensuring that we're getting the most value out of our 10,000-person sales force, which is one of our sources of competitive advantage. But how do we make sure everybody is contributing every quarter and that we're looking to eke out both small deals and big deals throughout the year. And then finally how do we open up new channels. So the direct model continues to be our strongest muscle, there's no question about that. But we're finding that customers, and not just small customers, are keen to use more and more -- who purchase more and more through digital and online. And that's an area that we're revamping, and it's going to be a bigger part of our overall delivery of new bookings going forward. So the focus for me has been about driving best practice across the Salesforce ecosystem and having a flatter organization that allows for faster decision-making and stronger leadership within the units themselves.
Marc Benioff: Yes, thank you so much, Gavin. And I from Gavin, Amy and Bret should indicate to you how fortunate I am to have this great management team running Salesforce during this pandemic. And then this ability to have not only this great team, but to put in the new model during this and now this new structure as well. Look, we're in a new world. We all know that. And we've all seen all the things that are supposedly happening this week, who knows how much of it is actually true? So we have the ability to adjust and to run the company dynamically. And I think that's why you see such incredibly strong quarter here in Q3. And I believe we're going to have a world-class quarter in the fourth quarter and a great fiscal year next year as well.
Operator: Our next question will come from the line of Kash Rangan from Goldman Sachs.
Kasthuri Rangan: Congratulations to Bret on becoming Co-CEO. One for the Co-CEOs and one for the CFO. When you look at the operating model of the company, it is working quite well. You're pretty close to 20% organic growth rate, give or take. Your margins are pretty close to 20%. In fact, you absorbed Slack and did margins that were on par with your best margins before. So everything is going well. Do you feel the need to make any acquisitions? Or even if you do, do you feel like you can contain all this with the current margin structure? And one for Amy, when you look at the tremendous operating efficiencies you've been able to experience in a very short period of time, does that increase your confidence in the longer-term outlook? Granted that you don't have a specific margin target for the longer term. How should we think about the sustainability of the improvement of margins in the longer term as we watch the incredible success you've had in a very short span of time?
Marc Benioff: Well, I think you're right, Kash. We're doing a very good job of absorbing Slack and integrating it deeply into the company, not only into the distribution organization with Gavin and not just with its financial characteristics with Amy but you can see the tremendous vision. Especially if you watch the Dreamforce keynote that Bret brought to Slack and Salesforce together with Slack-First. And I'd love for him to talk about that. Because I think when we get to Dreamforce New York City, which is going to happen on December 8 at Javits Center, and I hope all of you will join us there. We'll have 2,000 customers there with us, and we'll be broadcasting that all over the world as well. Well, I think that you'll see that this has fundamentally changed the tone and tempo and future of Salesforce, that we're really a very different kind of company because of this amazing acquisition. That said, this is a large acquisition. It is taking a lot of work time from the management team to absorb it. And it still will take several more quarters before we can tell you that we're really running deeply integrated with Slack And Bret, you've done so much of the leadership here with Slack and with Stewart. So maybe you could just address where we are and how you see the future acquisition environment.
Bret Taylor: Yes. Well, I'll start with really what Marc said, which is right now our focus is integrating Slack. And not on any near-term M&A, as Marc said, it's really important. What sets Salesforce apart is how successful we've been able to integrate and grow our acquisitions. My favorite slide at Investor Day with Amy is which we talked about the growth of exact target of MuleSoft or Tableau and now seeing an early return from Slack I think is what superpowers is an organization, and it really requires a lot of focus on the management team. Slack is really special though, as Marc said. It's just a moment in time where the way we've worked, which has sort of been as Marc said, it's not what we all planned. We just showed up at work one day, and that's the way work was done. And the whole world is reimagined at the same time. And we have this incredible opportunity to partner with our customers help them with this transformation. And no one knows where the world is going. We know we're not going back to the office 5 days a week. And Slack has become such a strategic part of every single customer conversation. As Marc said, I encourage everyone to either come in person to Java Center on December 8 or watch online on Salesforce Plus and really see the power of Salesforce Customer 360 and Slack together. And I think you can see why we're so excited about it and see -- as you can see some of the early returns this quarter as we beat guidance.
Marc Benioff: Yes, I'll really add to that, that you've seen us, Kash, do so many incredible acquisitions, starting with ExactTarget, moving on to MuleSoft, to Tableau, Slack. But let me tell you, there is no finish line on these acquisitions. There it's a lot of work. It's a lot -- it's skill, it's art. It's luck also to keep them all going. Because look, we're innovating organically and also we have innovated inorganically. And then we're deeply integrating these acquisitions into Customer 360, our ultimate vision of where all of that is going. Well, that's still something that we're continuing to reveal and is being revealed to us. So it's a dynamic process, and it requires all of our attention. And we're very excited about Slack and how far we've been able to come in such a short period of time.
Amy Weaver: Kash, following up on your second question about operating margin, we've had a great year on this. I'm really delighted to predict that we're going to end the year around 18.6. And as you know, at Investor Day, I was thrilled to announce a guide to 20% next year, which I think symbolically is a key number for us. And we're doing that despite it being a full year of Slack and what I'm hoping will be some moderately increasing T&E expenditure. But we're very much committed to doing that. Now we have not given long-term guidance beyond FY '23. But I will say we are committed to continuing to improve operating margin. As Bret said, there's a reimagination going on. We're having a chance to reimagine everything about how we operate. And I want to be able to make sure that we're using that to look at operating margin and look at how we're running a company with fresh eyes and continue to improve.
Operator: Your next question will come from the line of DJ Hynes from Canaccord Genuity.
David Hynes: Bret, I was hoping you could touch on some of the growing pains that were alluded to with MuleSoft. I think you also mentioned that there were some changes made in that business that you feel pretty good about. So maybe just unpack that a little bit. And Amy, maybe as a follow-up to that question, how should we think about the seasonality and modeling of the data cloud business, just given it's the first time that you're breaking that out?
Bret Taylor: I appreciate the question. As Marc said, there's really no finish line with integrating acquisitions. And we've made some changes that we think are right for the long term and what it's been. I think maybe perhaps, Marc, our fastest-growing acquisition today that you saw in Amy's slide at Investor Day. So we feel very confident in the decisions we've made and have to get through a bit of this change management, we are seeing in the short-term results. But we feel very confident in the future of MuleSoft and certainly no change the demand environment. Actually, Gavin and I were just talking about this, just before the earnings call, just how important MuleSoft is a lot in our Q4 deals, particularly the Customer 360 deals where our customers are connecting multiple clouds to multiple back-end systems. And how much integration is such an important part of our customer conversation. So we feel confident in the long term of the business and recognize we have some short-term growing pains as we integrate our acquisitions.
Marc Benioff: Yes. Gavin, could you come in here and kind of address that directly? And just tell us about the demand environment for the fourth quarter and next year, and what kind of pipeline and capabilities you're seeing with customers today.
Gavin Patterson: Well, I'm not going to give specific numbers. But you can hopefully tell from my tone and conviction the demand environment is strong. The pipe is strong, and we're feeling confident about Q4 and looking into Q1 as well. I think Bret said it very, very eloquently. We've gone through a little bit of, I would say, growing pains this quarter with Mule. There are operational challenges, but the actions that need to be taken are very clear. But it does not change in any way our belief that MuleSoft is fundamental to our ability to deliver our Customer 360. So I see its role in solving customer problems and creating value for customers is absolutely fundamental. And I'm confident we'll be able to work through these over the next quarter. So across the board, Marc, the business and demand environment looks strong. And as we cycle through another wave of COVID, I don't see that changing fundamentally.
Operator: We have reached the end of the allotted time for questions.
Bret Taylor: We would like to answer the second part of that question, please?
Amy Weaver: Yes, so let me just quickly respond to that. You asked about the seasonality of data in our new reporting metrics. So one of the advantages of breaking up the revenue this way is I think it really provides greater transparency to all of our investors. And what this will do is it will put Tableau and MuleSoft, which are 2 primarily licensed-based offerings, together in the same line. So I don't think it's so much a question of seasonality, but it's a question actually of lumping out. Because of the way that we recognize the revenue in period, you were simply going to see more variability in those -- in that line than you would in other areas. I really think it's an advantage to everyone to be able to have that be isolated going forward.
Evan Goldstein: All right. Thank you for joining us on the call today. If you have any other follow-up questions, please e-mail us at investor@salesforce.com. Look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.